Operator: Good morning, ladies and gentlemen. And welcome to the Stran & Company Second Quarter 2022 Earnings Call. At this time, all participants have been placed on a listen-only mode. And the floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to the host, Ally Schultz [ph], VP of Investor Relations.
Unidentified Company Representative: Good morning. And thank you for joining Stran & Company's 2022 second quarter financial results conference call. On the call with us today are Andy Shape, Chief Executive Officer and David Browner, Interim Chief Financial Officer. The company issued a press release today, August 15, 2022 containing its second quarter financial results which is also posted on the company's website. If you have any additional questions after the call, or would like any additional information about the company, please contact Crescendo Communications at 212-671-1020. The company's management will now provide prepared remarks reviewing the financial and operational results for the three months ended June 30, 2022. Before we get started, we would like to remind everyone that during this conference call, we may make forward-looking statements regarding timing and financial impact of Stran's ability to implement its business plan, expected revenues and future success. These statements involve a number of risks and uncertainties and are based on assumptions involving judgments with respect to future economic, competitive and market conditions and future business decisions, all of which are difficult or impossible to predict accurately and many of which are beyond Stran's control. With that, we will now turn the call over to Andy Shape, Chief Executive Officer. Please go ahead, Andy.
Andy Shape: Thank you, Ally. And thanks to everyone for joining us today as we discuss our progress and financial results for the second quarter of 2022. I'm pleased to report that we maintained our growth trajectory during the second quarter illustrated by a record revenue of $14.8 million a 72.5% increase compared to the same period last year. Importantly, our year-over-year organic revenue increased 49.4% reinforcing our traction in the market. And we continue to maintain a solid balance sheet with over $28 million of cash and cash equivalents as of June 30, 2022 and no long-term debt. We're proud to once again achieved record revenue numbers and believe this is a direct result of our business growth strategy through expansion of our geographic footprint, entering new verticals and opportunistic acquisitions that complement our existing platform. We believe these activities are key drivers for ongoing success and sets trend apart from others within this industry. As part of our growth strategy, we remain committed to identifying accretive acquisition targets. Toward this end, I'm pleased to report that we have fully integrated G.A.P. Promotions into our business operations and acquisition completed in January. G.A.P. brought an impressive roster of top tier beverage and consumer good customers as well as expertise in point-of-sale display racks and more. We are already witnessing the operational synergies of this transaction and look forward to benefiting from additional growth opportunities based on our combined knowledge and capabilities. In addition, we recently announced entering a definitive agreement to acquire Trend Band Solutions a leading global brand solutions company that is strategically located in Texas. In fact, the Houston area is home to two dozen Fortune 500 companies and ranks third among metro areas in terms of Fortune 500 headquarter location. Given the high profile companies headquartered in this area, we believe expanding our presence within this key geography will provide significant opportunities to grow our operations and customer base. By executing on our M&A goals, we have increased our customer base, grown our capabilities within the beverage space and with Trend we look forward to expanding our geographic presence within the United States, especially within the Houston Texas area and southern United States. Given the fragmented nature of this industry, we believe that our strategy of acquiring undervalued and accretive businesses will remain a key aspect of our continued growth, bringing together innovation, relationships and top-tier talent. We continue to explore opportunities in the market that are in active acquisition discussions with companies we believe would add value to Stran, including expanding our geographic presence and enhancing our capabilities. We'll provide additional updates as those discussions progress. Since our obsession -- since our inception, we have invested heavily in our infrastructure in order to provide comprehensive offering with unique value proposition which has resonated very well with customers and supported our revenue growth. Toward this end, we intend to build upon our success by expanding our sales and marketing initiatives. Specifically or establishing a new dedicated lead generation team does for our sales force, which will be further enhanced through an integrated and aggressive digital marketing strategy. This expanded strategy is expected to open new doors and designed to complement our existing sales and marketing initiatives. We believe this approach will create a steady and consistent pipeline of customer leads for our sales team, which could be a potential game changer for Stran. In fact, as a result of recently launched campaigns on Google Ads and LinkedIn, we're already averaging over 50 qualified leads per week and believe that more than 35% of these opportunities have the ability to close, while also having the potential becoming repeat and annuity type program customers. Through these and other initiatives, we believe daily position to rapidly grow our market position as a leader in the promotional products into serving many of the top Fortune 500 companies in the country. In addition to our sales and marketing efforts combined with acquisition opportunities, we're making progress on implementing Oracle's NetSuite as our new ERP, in order to gain operational efficiencies, provide greater financial analysis and prepare for additional scalability. We're on track to launch this in the third quarter and our target to be fully integrated into the platform by the end of the year. Looking ahead, we are seeing very strong bookings heading into the second half of the year with over $30 million in orders secured year-to-date. It's important to reiterate that these numbers aren't reflected as build revenue until the products are delivered over the next few months. However, it does reinforce our traction in the market, as well as set the pace for the remainder of the year. Overall, we believe we have built a highly scalable business model and are witnessing continued revenue growth. Although we are now carrying public company expenses that we did not incur last year and added other fixed expenses to a sport. Our plan growth we expect to resume and build upon our track record of profitability given the scalability of our operations. Additionally, we have maintained a solid balance sheet as I mentioned earlier. We ended the quarter with over $28 million in cash reserves and no long-term debt. As a result, we are well capitalized to internally fund and execute on both organic growth and acquisition strategies, ultimately establishing Stran as a preeminent force in the promotional products industry, and market value to over $23 billion. One final note, we're putting our money where our mouth is to show our conviction to the outlook for the business. Since our last earnings call the senior management team has purchased approximately $75,000 worth of common stock personally and we plan to continue to taking advantage of opportunities in the market. I'm also pleased to report that under our share repurchase program, we have repurchased approximately 1 million of our common shares at an average price of $1.96 per share. In summary, we are very proud of the progress made to date and plan to continue to execute on our growth strategy by growing our customer base, entering into new customer verticals, expanding geographically, and identifying accretive acquisition targets. At the same time, we are focused on increasing awareness of Stran through investor and industry related activities. Together we believe these initiatives along with continued execution will drive long-term value for our shareholders. At this point, I'd like to turn over call to our Interim Chief Financial Officer, David Browner to go over the financials in detail. Please go ahead, David.
David Browner: Thank you, Andy. Revenues for the three months ended June 30, 2022 increased 72.5% to $14.8 million, compared to $8.6 million for the same period in 2021. The increase was primarily due to higher spending from existing clients as well as business from new customers. Additionally, we benefited from the acquisition of the gap promotions assets in January of 2022. Gross profit increased 75.3% to $3.8 million, or 25.4% of sales for the three months ended June 30, 2022 compared to $2.1 million or 25% of revenue for the same period last year. The increase in gross profit was due to an increase in sales partially offset by an increase in purchasing costs. Importantly, we were able to increase gross margins despite our new health care client given the sheer size of the contract as well as the higher freight revenue, which comes with lower margins. Operating loss for the three months ended June 30, 2022 was $472,000 compared to the operating loss of $854,000 for the same period last year. We were able to decrease our operating losses despite higher general and administrative expenses, which was primarily due to additional expenses related to the acquisition of G.A.P. Promos assets, the implementation of the new ERP system on Oracle's NetSuite platform, ongoing public company expenses in the organic growth of our business. It's also important to note that our operating loss declined by over $350,000 compared to the first quarter of 2022. We believe this reflects the inherent scalability of our business and bodes well for the profitability in the second half of 2022. As we continue to grow revenue. Operating expenses as a percentage of revenue were 28.6% in the second quarter of this year compared to 34.9% of the same period last year a decrease of over 630 basis points as we continue to carefully manage our expenses. Net loss for the three months ended June 30, 2022, was approximately $447,000, compared to a net loss of approximately $169,000 for the same period last year. This increase was primarily due to the integration expenses related to the acquisition of G.A.P. Promotions assets, ongoing expenses related to being a public company, and higher costs of purchases. At June 30, 2022, the company had cash and cash equivalents of approximately $28.2 million and no long-term debt. Given the strength of our balance sheet as previously announced, we implemented a share repurchase program of up to $10 million. As of June 30 2022, we have repurchased 1 million of common shares at an average price of $1.96 for a total cost of approximately $2 million through the buyback program. At this point, I'll turn the call back over to Andy.
Andy Shape: Great, thank you, David. To wrap up, we're experiencing strong organic revenue growth, we have a demonstrated track record of successful acquisitions, and we have a strong balance sheet to execute upon our business model. We're extremely well positioned to take advantage of the opportunities in front of us and are excited about the outlook for the remainder of 2022. I'd like to thank you for joining the call today. And we look forward to providing further updates as developments unfold. At this point, we'd like to open it up the call up to questions, operator?
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Thank you. Our first question is coming from Edward Reilly with EF Hutton. Please go ahead.
Edward Reilly: Good morning, guys, I was wondering if you could touch on some of the synergies you've recognized from the G.A.P. Promo transaction that you mentioned earlier in the call?
Andy Shape: Sure, first, some of the capabilities that they have for the Creative team, the Creative design and merchandising team, we've really been able to take advantage of not only continue to offer those customers expanded services that we have, but also being to use some of those services and expertise for our own customers. So that's the first thing is expanding the opportunity for new business and new product lines for our customer base. In addition to that, it's just integrating some of the systems that we have in terms of from an accounting perspective and personnel is really sharing, job sharing and expanding our support network, whether it's accounting and marketing initiatives is really getting more from both of them. So being able to do more with the current staff that we had with the combined staff and we're having to build that between the two of them. So we've really seen a lot of those synergies both in customer opportunity as well as internal efficiencies.
Edward Reilly: Okay, great. And I was wondering if you could touch on the pipeline. How many companies are you talking to right now?
Andy Shape: In terms of acquisition targets?
Edward Reilly: Yes.
Andy Shape: So we're actively talking to dozens, but we're being patient, we want to find the right companies that are the right fit that not just give us revenue, but give us revenue as well as profitability that that works with our business. We're not looking necessarily for turnarounds or something that's going to be completely different from our business model. So we are talking to dozens of but we're being very strategic about offering LOIs or really taking to the next level of companies that culturally fit with us, companies that make a difference, company that really check the boxes of what we're looking for. And as we've mentioned it's geographical additional capabilities, strong balance sheet and strong profitability. So we are talking to dozens of them. And we're hoping to have some more in the very near future as well under our belt.
Edward Reilly: Okay, great. And then on the $30 million in bookings, I was wondering if you'd expect this to be fulfilled by the end of the year?
Andy Shape: Yes, absolutely. I mean, we're already at I think that's booked through the year. So absolutely we'll see historically our Q4 has always been the strongest typically in terms of revenue. So we're most likely going to hoping to experience that as well from a billing perspective, but absolutely that $30 million will -- should 100% bill by the end of the year, but some of that already has been billed. So that's not an incremental to the current revenue, that's combined all bookings.
Edward Reilly: Got you. Do you guys have a current backlog estimate right now, or?
Andy Shape: We don't have a backlog estimate in terms of adding what we have for billed plus what we have out there that we're publishing, but it is strong, we are still seeing fairly strong bookings. Typically, we do see somewhat of a small downturn in the summer, we haven't experienced anything out of the norm this year, just because people are on vacation. But typically, it ramps right back up at the end of Q3 and Q4.
Edward Reilly: Got you. And one more for me, just wondering with the expansion of the marketing team, how much hiring you're planning on doing by the end of the year and what this may do to impact G&A going forward?
Andy Shape: Yes, so it is a fairly, the lead gen team that we hired is feral. It's not a very large team. It's only a handful of individuals that we've hired to execute on that, but they're very experienced and have a lot of knowledge in that space. So that's one thing that we're adding, it should not be a significant impact to the G&A. It will be an impact obviously, but we're looking to have revenue associated with that as well, as well as profit or as long as profit to go in there. So we're hoping that they offset one another. And by the end of the year, we should hopefully see them generating enough revenue to cover their expenses.
Edward Reilly: Okay, great. Thank you.
Operator: [Operator Instructions] Okay, our next question is coming from Barry Pasternak, who is a Private Investor. Please go ahead.
Unidentified Analyst: Good morning, guys. As you know, some companies operating in the digital marketing space have reported weakness in spending by their customers. What are you guys seeing amongst your customer base for spending on promotional products? Are you seeing any impact there as well?
Andy Shape: Yes, we haven't seen too much of a downturn yet. Again we have found that customers are somewhat replacing the digital, some of the digital spend that they've done with physical advertising like we do, because of the impact that it has, and the really the effectiveness of it. So the digital campaign that we're putting out there is really to get more eyeballs on Stran. It's really to get people more interested in how we can help them use physical promotional merchandise to get in the hands of either prospects, employees, clients to build loyalty, is really to get that in their hands and to show them. But it's really our digital approach is really to get people interested in -- more interested in Stran as a leader and showing them what we can do to help facilitate those sales for our sales team. So it's really to help Stran not necessarily digital revenue, it's more revenue geared towards more spend. So we have not seen too much of a downturn because events are coming back. People are coming back to the office, people are seeing people, so we've actually haven't seen too much of a slowdown for demand. And as I mentioned, the digital is more to get people more interested in Stran.
Unidentified Analyst: Okay, great. And on the healthcare contract, is that any update there is that going on track as expected or?
Andy Shape: Yes, that's on track as expected. We're expecting to do approximately $6 million as we had mentioned in revenue, it could increase from there. But that's what our forecasts were. And I think, and it is a three year contract with two, one year extensions. So we're hoping that that will continue to expand and be an annuity for the very long trip but yes, that is going as planned.
Andy Shape: Okay, great. Thank you.
Operator: Thank you, ladies and gentlemen. As there appear to be no more questions in queue, I'm going to hand it back to management for closing comments.
Andy Shape: Great, thank you everyone for joining today. We're excited about the future for Stran, we're well positioned with a strong balance sheet, a very detailed plan of what we're planning on doing in the future and we're looking forward to continue to report our success well into the future. So thank you for joining and please keep an eye on Stran and we look forward to delivering for you. Thank you.
Operator: Thank you, ladies and gentleman. This does conclude today's conference call. You may disconnect your lines at this time and have a wonderful day. Thank you for your participation.